Operator: Good afternoon and welcome to the QYOU Media’s Fourth Quarter and Fiscal Year 2022 Conference Call. As a reminder, this call is being recorded and all participants are in a listen-only mode. We will open the call for questions-and-answers following the presentation. On the call today are QYOU’s Co-Founder and CEO, Curt Marvis; and CFO, Kevin Williams. The company would like to remind everyone that various remarks about future expectations, plans, and prospects constitute forward-looking statements for purposes of Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. QYOU cautions that these forward-looking statements are subject to risks and uncertainties that may cause their actual results to differ materially from those indicated, including risks described in the company's filings with the SEC. Any forward-looking statements made on this conference call speaks only as of today's date, Monday, May 1st, 2023, and QYOU does not intend to update any of these forward-looking statements to reflect events or circumstances that occur after today. A replay of today's call will be available on QYOU's website at www.qyoumedia.com. With that, I'd like to turn the call over to QYOU Media's Co-Founder and CEO, Mr. Curt Marvis. Mr. Marvis, please go ahead.
Curt Marvis: Great. Thanks very much Latanya. I'd like to welcome all of our QYOU Media followers and investors to the call and Happy May Day to everyone. I'm Curt Marvis, I'm the CEO and Co-Founder, QYOU Media, and as she said joining me on the call today, we have our CFO, Kevin Williams. We're excited today to share with you the results that we just published for the quarter ended December 31st, 2022, which also marks the end of our 2022 fiscal year. Kevin and I will take you through some of the financial highlights and then share with you some of the activities that have driven really the strong business growth along with some key strategies and goals we have for 2023. At the end of this review, we'll open up for questions. Before I begin, I want to point out to those that review our notes to financials and our MD&A that is filed on SEDAR, that there can be a little bit of confusion due to the change in our fiscal year end to December 31st, 2022 or now equal to a calendar year end. Previously, our fiscal year ended on June 30th. For purposes of clarity, both on this call and in our press release, we are comparing the year-over-year results for the calendar year 2021 and 2022 and we will continue to report and compare results on that basis and on the basis of our new fiscal year. At the same time, we will compare year-over-year quarter to the same quarter one year ago, meaning the period of October 1st, 2021 to December 31st, 2021 is being compared to the year-over-year results of those same dates in 2022. Again, the MD&A and notes to financials can be helpful in seeing this in more detail as desired by investors. As our previous fiscal year ended on June 30th, there can be considerable confusion in comparing year-over-year financials that are not in the same monthly or quarterly timeframe. You'll see if you look at the notes to financials if there's a significant reference in them to the fiscal year that ended as of June 30th, 2021 as well as in the MD&A. Again, the SEDAR filings can help clarify all that and frankly, given the powerful revenue growth that we've experienced over the last two years, it only makes our results appear massively more impressive when we go all the way back to compare it against the June 30 year end. So, nevertheless, we think we're still pretty happy and thrilled with what we're reporting given the timeframes that talking about for our new fiscal year. So, now on to that financial news that was just published. Today, May 1st, we are reporting that Q4 2022 marked the highest quarter of revenue in company history and fiscal 2022 was the highest revenue year in company history. We recorded revenue of $7.8 million in Q4, a year-over-year quarterly increase of $2,221,342 or 40%. For the 12 months ended December 31st, 2022 as compared to the same period last year, we had recorded total revenue of $27,169,584, representing an overall year-over-year revenue increase of $14,035,030 dollars or 107%. We're obviously very proud of these results, particularly in a market environment where the emphasis on growth needed to be kept in check somewhat in the second half of 2022 and continuing into the current timeframe. This sentiment and commitment continues As currently, the markets we all know are demanding a more strident focus on shorter term positive cash flow, operating efficiency and profitability. Year-over-year adjusted EBITDA for the 12 months ended December 31st, 2022, also improved by $938,650 dollars or 24%, which is particularly encouraging given the significant investments we made in 2022 into launching new content, new products and new channels. While we did not provide any formal guidance for 2022, we had set an internal goal for the year of approximately $28 million in total revenue. We fell slightly below this at $27.2 million, which is a function of really two main factors. The first is the lack of closing of our Maxamtech Digital Ventures acquisition, which was delayed until Q1 2023. Along with the decision to back off on certain topline revenue generating marketing activities that initially drive a larger bottom line loss before you make the turn to more profitable spend against revenue. As I previously noted, we are working hard to straddle that fine line between rapid and even exponential growth in top line revenue with the need to get an operating business that is cash flow positive. This is a daily push and pull process across all of our business units and requires certain surprises to be made in the speed with which we would like to drive more products into the market to which we'd like to make more accretive acquisitions and overall take advantage of the significant market growth and audience scale that we now experience. This is almost always in petition with significantly more highly financed competitors. This is something we will continue to monitor and work with going forward and to some extent the overall health of the capital markets, which obviously we have no control over will also affect our strategy and path forward. I'll be speaking more about our acquisition of Maxamtech Digital Ventures in 2023 in a bit along with go forward plans there, that includes what's happening after the launch of our first product with Maxamtech, few games, Mila that we announced last Wednesday. But before I get to that, I want to turn the call over to our CFO, Kevin Williams, to give you all a few more financial details. So over to you, Kevin.
Kevin Williams: Thanks Curt. Before Kirk speaks a little bit more about the business, I want to pass on just a few more important financial details that we believe investors will be interested in. The company concluded the quarter ended December 31st, 2022 with cash of $3,510,951 compared to the prior quarter end September 30th, of $3,077,769.The increase in cash is due to the small capital raise that we did at the end of November in Q4, offset by the cash that we used in operating activities and investments in new products and initiatives. Cash used in operating activities for the three months ended December 31st, 2022 was $1,871,858 compared to the cash used in operating activities for the three months ended December 31st, 2021 of $1,032,624. The increase in cash used is primarily from the increase in trade accounts receivable of $2.8 million year-on-year, driven from the revenue growth of the business, which is offset by quite trade accounts payable. Cash used in operating activities for the 12 months ended December 31st, 2022 was $4,845,669 compared to the cash used in operating activities for the 12 months ended June 30th, 2021 of $6,314,537. The decrease in cash used represents the improvement in EBITDA for the business and the continued push around what Curt mentioned earlier around getting to cash flow positive. I also think it's really important for investors to understand the decisions that we made concerning the timing and the reasoning behind those decisions to take a significant non cash write down of our goodwill related to the Chtrbox acquisition. Goodwill arose from the acquisition, which reflected the benefits attributable to the synergies, the potential revenue growth, and future market development. The goodwill is tested for impairment annually as at December 31st or more frequently if the events or the changes and circumstances indicate they may be impaired. The macroeconomic environment became increasingly uncertain characterized by rising inflation and the growing risk of recession, which has put some pressure on profit margins in the business. In addition, there was a significant decline in the overall company share price from august 31st, 2021, which resulted in Chtrbox carrying value being greater than its current market enterprise value. As the Chtrbox division had actual results that fell short of previous estimates and an outlook that was a little less robust. We took a non-cash goodwill impairment charge of $3.3 million that was recorded in the three months ended December 31st, 2022. Partially offsetting that is a gain on the contingent consideration that we'd had recorded The contingent consideration fair value was based on the present value of the estimated likely obligation. During the period ended December 31st, 2022, the company recorded a gain on the remeasurement of contingent consideration of $1,500,292. This is a result from the short -- the company short of the previous estimates of profit margin and the last robust outlook on the -- from the macroeconomic environment. As at December 31st, 2022, the fair value of the contingent consideration was $994,197. Coming back to revenue, the company only had one customer that represented over 10% of the company's revenue. In this past fiscal year, which is two less than the prior year, even more importantly, this customer only represented 13% of the company's revenue versus the prior year when the customers over 10% accounted for 40% of revenue in the prior year. So, this broadening of our revenue base is a testament to the number of new advertising partners that have been brought on board over the course of this fiscal year. As a company, we continue push forward into 2023 with a keen eye on the goal that Curt mentioned earlier and being cash flow positive in 2023. Thanks. Back over to you, Curt.
Curt Marvis: Okay. Thanks Kevin. As proud as we are of what we accomplished in 2022, I want to spend most of the time on today's call focused on where we're headed in 2023. This is where we see the biggest high growth opportunities and where and how we need to keep pushing for cash flow positive organic growth. As previously stated, establishing a cash flow that business is an absolute priority, but also leveraging the foundation we have built is equally important. And at the end of the day, the core mission we are on is to grow and build something that is much, much bigger and more profitable every day, every quarter, and every year. So, let me give you a bit more flavor on what we are doing around that growth in 2023. Most view or some of you may not have noticed yet, but we have a brand new website at our URL www.qyoumedia.com, qyoumedia.com. Go see our new website there. We built this new website to give investors and business partners both old and new, a chance to see the size and scale of what we are building as a complete and diversified company. Many of you have seen our QYOU Media roadmap on previous calls. This is the roadmap based upon the classic vertically integrated model created in 1956 by Walt Disney. It seems to have worked pretty well for them so far and we're both inspired and driven to emulate that model in our own particular way. Everything we do is driven by our connection to digital content stars and influencers. These are the people that speak to a new generation of youth in the same way everyone from Elvis Presley and Tom Cruise, Oprah Winfrey, and Jimmy Fallon did over the last 50 years. These digital content creators of the voices and personalities who mean something to millennials and Gen Z and they form the center of everything we do both in India and the United States. Our new website is a move forward in capturing scale and depth of what we are doing in this regard and it's always a work in progress each and every day as well. This includes the new website itself, which we will always be improving along the way and all the unique subsites with the different business units that are always being worked on and improved as well. We currently have 14 different divisions of our business that all have unique goals and agendas that all feed on each other. At the end of the day, they all revolve around the same universe of the digital content creator and influencer, what is now being referred to in economic circles is the creator economy. Back in 1997, IBM launched a campaign that's as you may recall that included full page ads in the Wall Street Journal touting the beginning of what they were then calling eBusiness. And the subset of that, which they coined a phrase in 1997 that they called ecommerce. It's very similar to what we today are calling the creator economy. Already here. In fact, probably a lot more so than it was in 1997 for IBM. I mean, they're pundits that are out there predicting that the creator economy is shortly going to be a $0.5 trillion business. But it is the foundation of everything that we're building. And if anyone doubts the dynamics of content marketing and advertising being changed forever by short form video, mobile gaming, interactivity, and direct transactional content distribution, then trust me, they'll be left in the days of the horse and buggy while Henry Ford was delivering The Model T. So, we couldn't be more excited about where we are and our new website is truly just the beginning of reflecting that vision and more importantly, executing against it. Each of the 14 different divisions is interconnected and each relies on that same core principle that young people in India, the United States, and all over the world rely on short form video content and social media the same way we rely on the air we breathe. It's essential for that. I'm emphasizing this as it remains so core to everything we do. And don't also forget that in India there are over 800 million people under the age of 30. It is by far the world's largest youth population. So, as most of our loyal followers are aware, we often point to our weekly reach to approximately 125 million young Indians and that's the audience that you've heard me off times refer to as our Loudspeaker. This is not a trivial number of people to come into contact with weekly and we're always working to grow the size of this audience. In addition, the Loudspeaker is the foundation for our growth initiatives. Our overall mission is to work on how we can leverage our reach to this audience to greater effect. And that's the entire point of the launch of Q GamesMela that was released last week and is the foundation of everything we plan on doing 2023 and beyond. With the Maxamtech Gaming initiative, that's the beginning of our direct-to-consumer marketplace. Q GamesMela, Mela by the way in Hindi means carnival, so translated, it means Q Games Carnival, is a free app designed to reward the top players with cash and promotional prizes that give them the reward if they end up at the top of leaderboards. The cost to play is free to the user and is designed for fun and cash and product that they can win, while they're doing their gameplay. But it's also a vehicle for advertisers to reach that audience that are playing the games and that's where we derive our revenue. Our business is targeted at our specific young audience, it leverages our reach to them and it leverages our advertising partnerships, which now between all of our business units across the Board, number over 100. This model forms the key everything we're setting out to do in 2023 and beyond, take what we have, and build something that can generate revenue and profitability on top of it. The gaming business is exploding in India and as more and more people have smartphones and unlimited data plans, this is only expected to continue to grow and grow. As we noted in our recent press release about Q GamesMela, the mobile gaming industry in India today has over 450 million casual mobile gamers. Analysts expect that number to grow at 650 million by 2025. And according to Business Today Magazine, India is now the world's largest online gaming market in terms of app downloads with over 15 billion downloads of gaming apps in 2022. So, there's a massive market that encompasses both free gaming and real money gaming opportunities in India and we expect to continue to grow alongside this in a big way moving forward and see the true benefits of our Maxamtech acquisition that was completed in January of this year. One section of our business that I've talked a lot about is a place where we also throttled things down a little bit in the second half of 2022, which is the smart TV and connected TV business. We were planning on launching more channels, we held off on doing that because as I've said on previous calls, the channels take at least 12 months and in most cases, 18 to 24 months to become profitable as we go through that balance of profitability and investment, we held back on launching more channels into the business. As previously spoken about the smart TV or CTV, or connected TV business continues to change the landscape of television viewing all around the world and it's just really starting to gain speed in India. Monetization in India across the board for all connected TV channels including our own was a bit slower in 2022 and early 2023 than we would have liked, which again was why we held off some things. But the climate for growth remains extremely high and we will be having a major announcement around this part of our business in the very near-term that we're super excited about. It's also a priority for us to have those same channels made available outside of India to the diaspora this year and we see that as an important additional driver for better monetization of the channels in the shorter term. Keep in mind that in India, we now have five channels available on up to 70 plus different television OEMs including most of the biggest manufacturers and dozens of other smaller white label brands of the importance of this space will continue to be more and more impactful on our overall business, our audience size, and our revenues moving forward. Which brings me to the incredible growth of our influencer marketing business, driven by the Q USA business unit. We have now done campaigns for well over a dozen number one motion pictures over the last six months to a year including the largest and most successful movie brands with names like Top Gun Maverick and Scream 6. We've worked with the division in the US on campaigns for the one of the world's largest toy manufacturers, MGA and we've also done business with the biggest brands in gaming for titles like Call of Duty from Activision and Resident Evil from CAPCOM. In short, the largest brands on the planet that are seeking young audiences are using us to partner with promoting their crown jewel properties. It's both gratifying and exciting to see that in almost every single case, these clients are coming back to us for repeat business. But we're also beginning to work on in 2023 as stronger global connection between the US and India influencer marketing business units. As global brands that we work with begin to launch campaigns around the world simultaneously on these social platforms, we anticipate an increasing need for companies like ours that can facilitate these campaigns. So, efforts are underway now for the US and India influencer business units to start to work more proactively on pitching ideas to these global brands that we can work on and continue to grow and drive our business. In addition to that, we are now just beginning for the first time the process of leveraging our own influencer marketing abilities in India to support our own brands and we're also working on a number of initiatives here in the US to be the same. This is something we have not done at all in the past. This gets us into power of a vertically integrated business where we can not only use our Loudspeaker, but also unleash influencers to promote our own products like Q GamesMela. This sits at the very core of our belief that we're building something where the hole will be even stronger than the sum of the parts. I think if you take a look at the new website, you'll begin to understand how powerful these synergies can be going forward and why we believe the future for our business is so bright. So, in 2022, well, we're now looking at that in the rearview mirror and we are well aware of the investors' credo of what have you done for me lately. Around here we take that to heart. Trust me, all my employees know that I say that all the time. For the entire Q Media team across our channels business, our influencer marketing groups, our gaming teams, we're all working tirelessly to make more and more opportunities happen each quarter and each fiscal year for our investors. We look forward to sharing those new and exciting announcements over this quarter, growing from the very strong 2022 results and throughout 2023. Most of all and as always, we thank you all for your belief and support and what we are working day and night to accomplish. We all take your support to heart, we don't take it for granted and we deeply appreciate it. So, with that, now we'll turn it over to any questions you may have.
Operator: Thank you. We will now conduct a question-and-answer session. [Operator Instructions]  I would like to turn it to Mr. Robert [Indiscernible] for web questions at this time.
Unidentified Company Representative: Thank you. The first question comes in from JM. The question is when will the digital TV channel start to be monetized and when will there be a big push to drive traffic towards downloading an active use of the two apps?
Curt Marvis: Well, where the smart TV or connected TV channels are already set up being monetized, but only with programmatic ads. And for those of you on the call who are familiar with programmatic ad business, you'll know that the CPM rate or the cost per thousand that you received for ads is very low compared to when you're doing a direct brand deal with somebody that you've gone through your own ad salesforce and are promoting them the way we would do it on our Q Broadcast channel as an example. So, we are working right now to make that transition. There's a certain overall scale of viewership that needs happen to be able to make those sales really effective. But we've really -- we've begun the monetization process in India around our channels already, it's just that we're not really thrilled with the amount of revenue that's been driven by those yet. And it's a very, very big priority for us throughout all of 2023 and obviously, going forward. In terms of the apps on both Q Play and Q GamesMela, we're rolling them out in a various what I would call tactical and specific way. Rather than turning the jets on full steam, Jace Sparks, who many of you on the call would know, our Chief Product Officer, has been working with a company called StarLifter to create a strong data platform for us to be able to analyze what's happening. So, if you can imagine advertisement happening at a certain time of day on our Q Broadcast channel, for Q GamesMela, we want to know exactly what happened at the same time in terms of the conversion rate, the amount of viewers that were in that day part, what the length of time was that they stayed on the app, what games they played on and on and on and on. So, we're really at the very, very beginning of using the data platform that we've been building for about six months now and the information that we gain from them -- from that to be able to dial in the most effective use of again our Loudspeaker to be able for monetization purposes. So, as a result of that rather than turning on massive advertisements all at once and spending a lot of money and not really knowing what's working and what's not working, we're doing the exact opposite. We're being very about it. We're being very specific in our analysis of what is working and what isn't delivering. And as we find out more and more what that is, keep in mind, we only launched our Q GamesMela less than a week ago that we will begin to ramp up the promotion through our own channels that we own manage and control. Once that starts to reach a point of maturation and success is when we'll begin to start spending money for customer acquisition costs, et cetera outside of our own owned and operated channels and content categories. That's the huge advantage that we have in this market is the ability to be go out into the market, leveraging our own audience as opposed to having to pay extraordinary amounts of money for customers to acquire through a third-party not even knowing if they're going to succeed and stay and monetize or not.
Unidentified Company Representative: Thank you, Curt. The next question comes in from Edward [Indiscernible]. Sequential quarter-to-quarter growth is 8%. Is this going to be representative of growth in 2023 or will there be other initiatives to accelerate growth? Is there much seasonality in the business?
Curt Marvis: There's a bit of seasonality in the sense that Q1 is normally -- calendar Q1 is normally our lowest quarter. People will find out that our Q1 that when we release those results will be again another record-breaking quarter for us relative to the Q1 of last year. In terms of the sequential growth, we're always trying to push further if possible to grow it at a more rapid pace. As I stated on the call, we've reacted to what the market is looking for, which obviously we're a growth business. So, we need to continue to achieve strong growth across the board. But the reality is that operating in a cash flow positive way and not just investing dollars to grow topline at the expense of bottom-line is something that we've pivoted and backed off on to some degree. So, I would expect us -- I would have you expect us to continue to grow in a similar fashion to what was experienced throughout 2022. But I hope that that can even get larger particularly when we start talking about the potential of things that we're doing in the gaming space.
Unidentified Company Representative: Thank you, Curt. There is a few questions here, which I know you touched on during the call, but maybe you could reiterate guidance for 2023.
Curt Marvis: We're not providing any official guidance for 2023 other than to say that we expect sequential quarter over quarter revenue growth to continue on a pace similar to what we've seen in 2022.
Unidentified Company Representative: Thank you, Curt. Looking forward Q2 to Q4, this comes in from Robert Parris [ph]. Q2 to Q4 2023, what percentage financial contribution do you expect from India and USA markets? And do you anticipate similar performance into 2024 and beyond?
Curt Marvis: Yes. Historically, that number has always been at about historically meaning for the last two years since we sort of changed our whole business and everything has happened that investors have seen. It's really been around two-thirds, one-third, two-thirds India, one-third US. Even sometimes as much as 70/30. We're seeing a little bit of a shift in that a couple of reasons. 1 is the reason that the exchange rate attributable to the US dollar is so strong since we report Canadian dollars that presuming that that continues to stay that way, then that may have a multiple percent effect on the overall balance between those two businesses. The other thing we're seeing is that while India continues to grow at an amazing pace, the US business advertisers are spending more and more on individual campaigns. The size of the campaigns not necessarily just the number of campaigns, but the actual size of them on a singular basis has grown dramatically over the last couple of years. So, I think we'll stick with probably two-thirds, one-third as an overall thumbnail going forward, but we'll see how that shifts in the coming quarters. And I'm not sure I can -- I'm not sure if I remember the second part of the question or if there was one.
Unidentified Company Representative: Thank you, Curt. I think that answers the question there. There's a few questions asking about uplifting to the NASDAQ or the TSX as well as how you plan to drum up more investor interest?
Curt Marvis: Yes. As I've spoken about in the past and as most investors that follow us are aware, we were absolutely planning on doing an uplift before this time right now. Really 2022 was the year that we were expecting that that was going to happen. What occurred was an analysis of the market, particularly the small in my – the overall capital markets in general, but certainly the small and microcap markets in particular. And the headwinds that we're blowing again companies that we're doing uplifts and stock consolidations and moving on to a different exchange were extraordinary. It was -- I'd probably say hurricane, hurricane force winds blowing against the companies that we're doing that. So, we ultimately have pulled back on that effort. With that said, and we don't have a crystal ball any better than anybody else has about when the markets will return to a healthier situation than what we're seeing today, we are always exploring other ways in the capital markets to increase the value of our company. We think we're grossly undervalued in terms of what we've accomplished and in terms of the opportunity that would exist to attract larger investors. Obviously, being listed on a senior exchange like NASDAQ in the US would offer a much larger investor base than what we track with an OTC listing and a TSXV listing. So, what I would tell you is that we are exploring all of those opportunities. We talk about it regularly and we're trying to be smart about the timing knowing that you can never sort of guess exactly right about these things, but we will continue to look at that because we're also disappointed in the volume of trading that's gone on with our shares, particularly over the last six to eight months or so. So, we are exploring alternatives to help propel that forward.
Unidentified Company Representative: Great, Curt. Thank you so much. Another question here is what new plans do you have to educate North America on your India business?
Curt Marvis: Well, that's why we brought Redship onboard. And I don't know how many calls I have every week with US based investors, but it's a lot of them. I would be lying if I told you that I wasn't a little bit disappointed that we haven't been able to sort of motivated seems most of them, particularly given the kind of results that we've been having to invest more into our business. But since there's probably a fair number of Canadians on the call, you've got to have a lot of shots on goal to score. And so we are persistent about that. We're in discussions now about possibly beginning a US Roadshow sometime in the near future. And we are having more and more discussions and conversations with a myriad of investor groups. And additionally -- in addition to that, we're working on trying to get more analyst coverage of our company going forward. And now that we've demonstrated that we have sustained quarter-over-quarter growth and that we're getting into a much stronger cash flow position in the second half of 2023, we hope to attract that kind of analyst coverage, which will also hopefully bring more investors. But it's a daily task and we're doing everything we can to make it happen.
Unidentified Company Representative: Perfect. Question here. How can individual retail shareholders assist QU in India and USA moving forward?
Curt Marvis: I'm sorry. How can individual shareholders do what?
Unidentified Company Representative: Assist, QYOU or support QYOU?
Curt Marvis: Buy more of our stock. Just joking. Well, I think the name QYOU is still relatively speaking less so in India than here in the US, unknown brand. I mean obviously when you're reaching well over 100 million people every week, we've established some brand identity in India that's getting stronger and stronger with every passing day. Here in the US, we're actually bringing on someone directly into the US business whose specific task is to drive corporate identity and public knowledge of what our US business is doing, particularly on the heels of such strong results. So, I guess what I would say is put it on your LinkedIn, tweet it, tell your friends about it, and it's -- what's the expression, it takes a community to raise a child, it takes a community to raise a company. So, we appreciate any form of support that any of our investors can give us.
Unidentified Company Representative: Thanks Curt. In the interest of time, if there was any unanswered questions, we will get to them in the next 24 to 48 hours, but I'll pass it back to you for closing comments.
Curt Marvis: Okay. Well, again, appreciate all of those as it come on and joined our call today. Look, we've had spectacular couple of years in 2021 and 2022 despite miserable market conditions for the most part in the public markets. I say all the time that we feel like our business growth has become completely decoupled from our share price. And I was speaking to someone the other day about the fact that our market cap for our business was five or six times what it is today when we had probably one-eighth or one-tenth of the revenue business capability an opportunity that sits in front of us today. It's not fun. All of us that work here are shareholders. So, we don't enjoy it either. But the very most important thing we know at the end of the day is that we can't manage to the stock price, we've got to manage the business. And as long as we keep the business growing and we keep executing and we keep making more money and we get to profitability and we keep getting a brand that becomes more and more known. As long as we do all that, which is in our control, then the markets ultimately will follow and benefit us. I had a conversation earlier today with someone I was reminding in the Lions Gate, which is one of my alma maters that I spent almost 15 years in and around, language is a small cap Canadian company for the first five or six years of its existence. At a $, $1.25, $1.50 and could never get past sort of $100 million market cap. No one except management back then ever believed that it would be a multi-multi-billion dollar company with the kinds of brands and reach that it has today. Well, we do here. We're all, as myself, Scott Patterson, many of the people, we were sort of born and raised in that environment and we still believe the same thing. We feel like we invented -- or reinvented our company and thank you to the shareholders that held on through the dark days of previous to this, but we feel like we reinvented ourselves only a short two and a half years ago in the journey that we're on today. So, we think we're progressing extraordinarily well and everybody is motivated and fired up to make it happen both for their personal accomplishment and what they want to achieve and also for all of our shareholders, which includes all of us that work here. So, we really appreciate the support and we hope to deliver things that over time we'll start to deliver share value that we'll all be very, very excited and happy about.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time and thank you for your participation, and have a great day.
Curt Marvis: Great. Thanks, all. Bye-bye.